Operator: Ladies and gentlemen, thank you for standing by. Welcome to this morning's Belden Inc. conference call. Just a reminder, this call is being recorded. [Operator Instructions] I would now like to turn the call over to Matt Tractenberg. Please go ahead, sir.
Matthew Tractenberg: Thank you, Jessica. Good morning, everyone, and thank you for joining us today for Belden's Fourth Quarter and Full Year 2014 Earnings Conference Call. My name is Matt Tractenberg, I'm Belden's Vice President of Investor Relations. With me here this morning are John Stroup, President and CEO; and Henk Derksen, Belden's CFO. John will provide a strategic overview of our business, and then Henk will provide a detailed review of our financial and operating results, followed by question-and-answer. We issued our earnings release earlier this morning and we have prepared a slide presentation that we will reference on this call. The press release, presentation and transcript of these prepared remarks are currently available online at investor.belden.com. Turning to Slide 2 in the presentation. During this call, management will make certain forward-looking statements. I would like to remind you that any forward-looking information we provide is given in reliance upon the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995. The comments we will make today are management's best judgment based on information currently available. Actual results could differ materially from any forward-looking statements that we make, and the company disclaims any obligation to update this information to reflect future developments after the call. For a more complete discussion of factors that could have an impact on the company's actual results, please review today's press release and our annual report on Form 10-K. Additionally, during today's call, management will reference adjusted or non-GAAP financial information. In accordance with Regulation G, we have provided a reconciliation of the most closely associated GAAP financial information to the non-GAAP financial information we communicate. This reconciliation is in the appendix of the presentation and has been posted separately to the Investor Relations section of our website. I'll now turn the call over to our President and CEO, John Stroup? John?
John S. Stroup: Thank you, Matt, and good morning, everyone. As a reminder, I'll be referring to adjusted results today. Please turn to Slide 3 in our presentation for a review of our fourth quarter highlights. At our investor event in December, we shared with you new strategic financial goals, including total revenue growth in constant currency between 8% and 10%, and EBITDA margins between 18% and 20%. I'll share some thoughts on our progress to both our previous goals and these new goals as we make our way through today's call. Turning to the results. I am pleased with our record performance, including revenues, operating profit margins and earnings per share. I'd like to thank our associates for their hard work during the quarter and their continued focus on aggressively executing our strategic plan. Overall, the business performed well, with strong organic revenue growth in our Broadcast and industrial platforms. Revenues for the fourth quarter were $613.7 million, an increase of 19%. A stronger U.S. dollar and lower copper prices had an approximate $21 million unfavorable impact on revenues. And after adjusting for changes in currency and copper prices, revenues grew organically by 7.2%, a very solid outcome. Our Broadcast and industrial platforms delivered strong organic growth of 13.2% and 9%, respectively, while Enterprise Connectivity, representing only 18% of consolidated revenues, saw a decline of 4.8%, as the team works diligently to improve profitability. All of these results are on a year-over-year basis. From a geographic perspective, we continue to benefit from a diversified global footprint. We experienced solid performance across most regions, with notable strength in Germany, up 5.1%; the United States, up 7.7%; Mexico, up 10.2%; and China, up 14.8%. Gross profit margins were 37.4% during the quarter, an increase of 220 basis points from the year-ago period and continue to be best-in-class. Operating profit margins in the fourth quarter were a record 14.5%, a year-over-year increase of 70 basis points. And as a result, we delivered a company record $88.8 million in operating profit dollars during the quarter. EBITDA margins were 16.3%, an increase of 50 basis points from the year-ago period. We also generated record earnings per diluted share of $1.24 in the fourth quarter, an increase of 36% from the year-ago period. And finally, we announced the acquisition of Tripwire, a leading provider of innovative cyber security software. Please turn to Slide 4 for a brief discussion of our full year 2014 results. Revenues for the year were $2.32 billion, an increase of 11.3% from the full year 2013. After adjusting for changes in currency and copper prices, revenues grew organically by 1.5% from the previous year. When combining revenue from the industrial and Broadcast platforms, which accounts for approximately 82% of consolidated sales during the year, revenues increased organically by approximately 4% over 2013. Gross profit margins were 37% during the year, an increase of 180 basis points from the year-ago period and continue to be best-in-class. Earnings from continuing operations per diluted share were $4.23, also a company record, and an increase of 14.6% from the prior year. We generated $188 million of free cash flow in the year, which exceeded net income for the 10th consecutive year. This level of consistency is a source of pride and a necessary ingredient to fuel our continued transformation. And finally, we committed more than $1 billion of capital during the year to the acquisitions of Grass Valley, ProSoft and Tripwire. It was an extremely fulfilling year, and I appreciate all the hard work from our associates and continued loyalty of our customers and shareholders. Please turn to Slide 5 for a review of our business segment results. Broadcast revenue in the quarter was $253.2 million as compared to $171.8 million in the year-ago period, an increase of 47.4% and a result of strong organic growth and the acquisition of Grass Valley. Organic revenue growth was 13.2% during the period and well in excess of the market. Operating profit margins were 15.5%, increasing 200 basis points sequentially, a result of the progress made with the Grass Valley integration and typical seasonal patterns. Revenue within our Enterprise platform was $110.8 million, down from $120.2 million in the fourth quarter of 2013, a decrease of 4.8% on an organic basis. Operating profit margins were 10.2% during the quarter, an increase of 50 basis points from the year-ago period. The portfolio actions have generated a 140 basis point increase in operating profit margins for the full year 2014, and I expect the revenue growth headwinds will subside in the second half of 2015. Industrial Connectivity had revenue for the quarter of $173.7 million, up $8.7 million from the year-ago period. On an organic basis, revenues increased 8.3% year-over-year. Operating profit margins were 13.4% for the fourth quarter, up 40 basis points. Industrial IT revenue of $76 million increased by $17.1 million from $58.9 million in the fourth quarter of 2013, a result of both strong execution, as evidenced by 11% organic growth and the addition of ProSoft. Operating profit margins of the platform were 20.1%, an increase of 60 basis points from the year-ago period. I will now ask Henk to provide additional insight into our fourth quarter financial performance. Henk?
Hendrikus P. C. Derksen: Thank you, John. I will start my comments with results for the quarter, followed by a review of our operations and segment results, a discussion of the balance sheet and close out with our cash flow performance. As a reminder, I will be referencing adjusted results today. Please turn to Slide 6 for a detailed consolidated review. Fourth quarter consolidated revenues were $613.7 million. Compared to the fourth quarter 2013, revenues grew 19% from $515.9 million, with acquisitions contributing $81.5 million. After adjusting for change in copper and currency, the revenues increased organically in the fourth quarter by 7.2% year-over-year. Sequentially, revenues increased $600,000 from $613.1 million. After adjusting for change in copper and currency, organic revenues increased 2.1%, largely due to improved commercial execution, as well as a slight build in inventories with our channel partners and customers. Gross profit margins were 37.4%, increasing 220 basis points from the year-ago period, primarily due to the accretive acquisitions made in 2014. Sequentially, gross profit margins declined 20 basis points, within the range of normal variation. Fourth quarter SG&A expenses were $111 million or 18% of revenue and in line with the commitment made earlier this year. SG&A expenses declined $5.5 million sequentially, due in part -- due to the favorable effect of foreign currency, and to a greater extent, the impact of improvements in productivity. R&D expenses for the quarter were $30.4 million or 5% of revenues. This represents an increase of 100 basis points year-over-year as a percentage of revenues and highlights the investment being made in the long-term health of the company. EBITDA margins were 16.3%, up 50 basis points year-over-year and 60 basis points sequentially. Operating profit margins were 14.5%, up 70 basis points year-over-year and 50 basis points sequentially, both largely due to leverage on volume, as well as productivity improvements. Net interest expense for the quarter was $23.3 million, an increase of $3.9 million year-over-year due to the additional senior subordinated notes issued in June and November of 2014. We expect interest expense to be approximately $26 million per quarter going forward. The adjusted effective tax rate for the fourth quarter was 17.7% and reflects the retroactive extension of the United States R&D tax credit for the calendar year 2014. For financial modeling purposes, we recommend using a 20% effective tax rate for the first quarter 2015 and full year. Income from continuing operations per diluted share increased 36% from the year-ago period and 8% sequentially, to a record of $1.24 per share in the fourth quarter of 2014. Please turn to Slide 7. I will now discuss revenues and operating results by business segment. Broadcast Solutions generated revenues of $253.2 million during the fourth quarter. Compared to the year-ago period, revenues increased $81.4 million or 47.4% from $171.8 million. After adjusting for change in copper and currency, organic revenues increased 13.2% year-over-year and 70 basis points sequentially. Very pleased with the execution of our Broadcast team, delivering full year organic growth of 7.3% in 2014, exceeding the range set forth in our corporate goal. Operating profit margins within the Broadcast segment increased 130 basis points year-over-year to 15.5%, primarily due to leverage on volume. Sequentially, operating profit margins increased 200 basis points. In addition to experiencing favorable product mix with an impact of 70 basis points, we benefited from cost synergies achieved as a result of successful integration of Grass Valley and Miranda, with an impact of 100 basis points. Our Enterprise Connectivity segment generated revenues of $110.8 million during the fourth quarter, decreasing $9.4 million year-over-year and $4.5 million sequentially. After adjusting for change in copper and currency, revenues decreased 4.8% year-over-year and 2.2% sequentially. The year-over-year performance is largely a function of the portfolio actions taken earlier this year and is partially offset by lower-than-expected depletion of inventory levels by our channel partners. Operating profit margins increased 50 basis points year-over-year, a direct result of productivity improvements and the enriched portfolio. Sequentially, operating profit margins declined 250 basis points, due to leverage on seasonally lower volume, as well as higher than anticipated rebates that were attained by specific channel partners for their full year partnership. Overall, the full year 2014 performance reflects operating profit margin expansion of 140 basis points and operating profit growth of $2.6 million. Our Industrial Connectivity segment generated revenues of $173.7 million during the fourth quarter. Revenues increased $8.7 million from $165 million in the fourth quarter 2013. After adjusting for changes in copper and currency, revenues increased 8.3% year-over-year and 2.9% sequentially. We attribute the growth to improved commercial execution and slightly higher channel inventory levels to support next year's growth expectations. Operating profit margins of 13.4% increased 40 basis points year-over-year, largely a result of leverage on volume, offset slightly by unfavorable product mix. Sequentially, operating profit margin decreased 20 basis points, a result of winning some larger projects that initially come at lower margins, but allow for future MRO business at more effective margins. The Industrial IT segment generated revenues of $76 million during the fourth quarter. The revenues increased $17.1 million year-over-year and $5.9 million sequentially. After adjusting for change in currency, revenues increased organically by 11% compared to the year-ago period and 12.6% sequentially. Industrial IT experienced revenue growth of 9.5% for the full year 2014, a solid performance. Operating profit margins of 20.1% increased 60 basis points year-over-year and 150 basis points sequentially, both a result of leverage on volume. In summary, I am pleased with our fourth quarter and full year 2014 performance, with revenue growth of 19% and 11.3%, respectively, both above the high end of our new corporate goal. EBITDA margins are already at 15.5% for the full year 2014, and I look forward to achieving our goal of 18% to 20% over the next 3 years. If you will turn, please, to Slide 8. I'll begin with our balance sheet highlights. Our cash and cash equivalents balance at the end of the fourth quarter was largely a function of significant free cash flow and liquidity from additional debt this year, both dollar and euro denominated. We took advantage of attractive interest and exchange rates, and ended the year with approximately $740 million of cash, of which, greater than 80% was held here in the United States and available for immediate deployment in support of our strategic plans. Inventory turnover was 6.9 turns, an improvement of 0.5 turns year-over-year. Days sales outstanding was 59 days in the fourth quarter, an increase of 3 days year-over-year and a decrease of 3 days sequentially. Working capital turnover was 12 turns, an improvement of 2.9 turns year-over-year and 4 turns sequentially. The improvement was, in part, a function of the timing of payables due to investments in productivity and capital expenditures made towards the end of the year. PP&E turnover was 7.7 turns, an improvement of 0.9 turns year-over-year. We continued to enjoy significant improvement in fixed assets efficiency, highlighting the success of our Lean Enterprise system and a less asset-intensive portfolio. Our debt balance increased $401 million year-over-year due to the additional senior subordinated notes issued in June and November mentioned earlier. This provides for a well-designed operational and capital structure and positions the company to partially mitigate the effects of foreign currency fluctuations. As expected, net leverage was 2.7x net debt to EBITDA at the end of the fourth quarter. The balance sheet metrics displayed on Slide 8 do not reflect the recent acquisition of Tripwire, which occurred in early January. We anticipate net leverage to be approximately 4.0 at the end of the first quarter, but with a goal to decrease this level to approximately 3.0 by the end of this year. Please turn to Slide 9 for a few cash flow highlights. Cash flow provided by operating activities for the fourth quarter were $145.2 million compared to $113.8 million in the year-ago period. Net capital expenditures for the quarter were $14.3 million, an increase of $5.5 million compared to last year, primarily due to capital investments made to produce Grass Valley products in our current facilities. Free cash flow was $130.9 million in the fourth quarter 2014. On a year-to-date basis, free cash flow exceeded net income for the 10th consecutive year. We returned greater than 50% of that free cash flow to our shareholders, as we repurchased 1.3 million shares for $92 million at an average price of $73.06. On a combined program to date basis, we repurchased 6.7 million shares or 14% of the company at an average price of $46.54. In addition, we deployed approximately $348 million and committed another $710 million to acquisitions during the year. I'm pleased with our ability to continually identify attractive capital deployment opportunities. That completes my prepared remarks. I would now like to turn this call back to our CEO, John Stroup, for the outlook. John?
John S. Stroup: Thank you, Henk. Please turn to Slide 10 for our outlook regarding the first quarter and full year 2015 results. Since we provided you with full year guidance in December, the macroenvironment has changed slightly and includes a stronger U.S. dollar and lower commodity costs. These changes will impact our full year revenues, and to a lesser extent, our earnings, relative to the expectations shared with you a short time ago. We've included a bridge that will walk you from our previous guidance to the newly revised range. We expect first quarter 2015 revenues to be between $565 million and $585 million, and adjusted income from continuing operations per diluted share is expected to be between $0.94 and $1.04. For the full year, we now expect revenues to be between $2.475 billion and $2.525 billion. The expected range of adjusted income from continuing operations per diluted share is now $5.28 to $5.58, which represents earnings growth between 25% and 32%. On Slide 11, you'll see a bridge that we prepared for you. Our guidance now incorporates the euro spot rate at $1.13 and a copper price of $2.45 per pound. It also now includes the contribution of a small, yet attractive, acquisition within the Industrial Connectivity platform that closed late in the fourth quarter. The contribution from this acquisition was not included in any previous guidance. That concludes our prepared remarks. Jessica, please open the call to questions.
Operator: [Operator Instructions] And we'll go first to Noelle Dilts with Stifel.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: First of all, I was hoping, just as you look out, maybe this is very general, but you could talk a little bit about your growth expectations by segment in 2015. And specifically, you saw some nice improvement in the Industrial platform in the quarter, maybe you can talk about how much of that was the market improving versus company-specific factors.
John S. Stroup: Sure. So I would say that our expectations for organic growth in 2015 are really unchanged from the comments in December. The guidance has only been updated for the fact that copper’s come down, which of course, has no impact on our earnings. And of course, the dollar has gotten stronger, which has some impact on our earnings, and we've incorporated both into our guidance and we've done so at the spot rate. So I feel like we're current with regard to the macroenvironment. I think that our organic growth performance in the fourth quarter is largely our improved execution, and I think that's particularly the case within the Industrial businesses. There's no question that we came out of 2014 much stronger than we came into 2014, and I think that gives all of us quite a bit of optimism for 2015. From a demand point of view, a market growth point growth point of view, I don't really see any changes. We do have a little bit of exposure into oil and gas. We mentioned it's not much, it's about 5%. And obviously, there's expectations that demand there might slow a little bit. On the other hand, we saw strong growth in Germany in all of our businesses, up 5% in Q4, and our industrial businesses were quite strong in Europe, so I think that, that will continue. So compared to where we were in December, Noelle, I'd say no change with regard to market outlook. Brazil will be a little bit weak. Industrial will be a little bit weak, but by and large, we feel really good. And I'm extremely pleased with the execution, and I'm very happy with the 7% organic growth in the fourth quarter. I feel like we're in a much, much better position entering '15 than we were entering '14.
Noelle C. Dilts - Stifel, Nicolaus & Company, Incorporated, Research Division: That's really helpful. Secondly, it's still early days, but you've had a couple of months now with Tripwire under your belt. Can you talk a little bit about your -- what you've learned so far in the process? And how you're thinking about that opportunity, if anything has changed, in terms of your thoughts on that acquisition?
John S. Stroup: Sure, yes. So it's been just about a month, so we closed on the 3rd of January, and but obviously we've gotten to know the business better and the people better. I would say that any surprises have been minor and positive. They had a strong fourth quarter from a bookings point of view, so that's obviously good news for us. The book-to-bill was 1.2 in the fourth quarter. So that's a strong result. We continued to be impressed by the quality of the people. We had an opportunity, I had an opportunity to participate in their annual kickoff meeting and meet more of their associates, very strong team, great technology. And I said the only other thing I can comment on is the reception by our existing customer base to the acquisition has been overwhelmingly positive. And I'd say the biggest challenge we have, quite honestly, is to meter their demand to the Tripwire resources, but we've had a very positive reaction from some of our largest Industrial and Broadcast customers as they try to navigate through some of these cyber security challenges. So Noelle, so far, anyway, I don't have anything to share with you other than positive news.
Operator: We'll go next to Shawn Harrison of Longbow Research.
Shawn M. Harrison - Longbow Research LLC: I guess I want to drill in on the Broadcast organic growth in the fourth quarter. Very big number, I guess maybe some factors that played into that and why doesn't that carry forward into 2015?
John S. Stroup: So it was a great, great performance in the fourth quarter, Shawn, for the Broadcast business, and we could see that carry over into 2015. I would say that the only thing that happened maybe in '14 that is going to carry over with the same strength is that we saw some pretty big wins in '14 within our EPC business, where they were able to leverage our incumbency and bring a lot more cable revenue in. And so at some point, that penetration is so high, it might be difficult to expand it much. But we do still have a lot of opportunity on the pull-through on the Broadcast cable for the studios and some of the other opportunities. So I'm very bullish about our growth for 2015 with the Broadcast business. We also did a nice job in the fourth quarter with our iTX platform, which was a bit of a challenge in the first half. And that's a high margin business, so we'll see how things play out. But right now, I tend to agree with you. I think there's probably more upside in the Broadcast numbers than maybe we've put into our guidance.
Shawn M. Harrison - Longbow Research LLC: Okay. Then, I guess, 2 quick clarifications. Post Tripwire coming on here now in the first quarter, I guess, what is total available liquidity? And the second follow-up was, just on the Industrial Connectivity business. How much business was pulled into the fourth quarter from some of that inventory channel fill? I mean, sorry, connectivity business.
John S. Stroup: You were asking about Industrial Connectivity, Shawn?
Shawn M. Harrison - Longbow Research LLC: Yes, the pull forward and then also, just total liquidity?
John S. Stroup: Sure. So I'll let Henk answer the liquidity question and then I'll answer your question about Industrial connectivity.
Hendrikus P. C. Derksen: Yes. So on liquidity, Shawn, both over availability under our revolver, as well as cash on the balance sheet. And there's $400 million of available liquidity in the first quarter.
John S. Stroup: And then on the channel inventory, Shawn, the amount of inventory at our channel partners and large customers in the fourth quarter is up only about $2 million from where it was in the third quarter, but we had thought it might drop a little bit, and there were really 2 things that happened. One is that our Enterprise Business saw a little bit more channel build, and they had thought it would come down, largely because we had a couple of large distributors that were close to achieving some rebate thresholds. That did have a little bit of margin pressure then on the Enterprise business in the fourth quarter. And then on the Industrial Connectivity side, we had one channel partner in particular that decided to increase their channel inventory position in anticipation of increased POS in the 2015 period. So in aggregate, Shawn, it was only a $2 million build from Q3 to Q4, but you and we may have expected that it was going to come down a little bit.
Operator: We'll go next to Steven Fox with Cross Research.
Steven Bryant Fox - Cross Research LLC: Just getting back to the organic growth numbers for the quarter. I guess the 4% growth and the 1.5% organic growth, those numbers are excluding acquisitions? And I just want to make sure I'm clear on that, and how you're talking about organic growth going forward.
John S. Stroup: Yes. So the 1.5% is the full year organic growth for the company on a consolidated basis. And it has been adjusted for acquisitions, for currency and for copper, so that's the 1.5% number. And the 4% number that I mentioned, Steve, is the same calculation, but only for the Broadcast and the Industrial platforms. And the reason we gave you that data is because, as you know, our Enterprise business went through a pretty significant trimming of the portfolio in 2014 to improve their margin profile.
Steven Bryant Fox - Cross Research LLC: That's helpful, John. And then, so if I use those numbers as a base for just sort of gauging where you think the markets are, you mentioned like strong growth in Germany, some portfolio management issues on the Enterprise side, but how would you sort of -- if you had to put some of your businesses above or below that baseline for 2015, where do we stand right now in terms of thinking about the markets?
John S. Stroup: Sure. So our Industrial businesses on a combined basis grew 9% in the fourth quarter. The Americas, being the strongest, about 13%, Europe at about 5%, and APAC was actually down a little bit just because of a difficult comp. I would say that from a market growth point of view, it still seems reasonable to me that our end markets are going to be growing somewhere in that 2% to 4% range, with a few exceptions. So I think Brazil is going to have a tough time. I think that oil and gas is going to have a tough time, so that's going to put a little downward pressure on these numbers. But I think that expectations of market growth between 2% to 4%, 2015, right now seem to be appropriate. And then obviously, if we can continue to take share in '15, then that would be additive to those numbers, and the team did a great job in Q4. So again, I think it's obviously only February, and so we needed to let the year play out a little bit. But right now, I feel pretty good about where we sit.
Steven Bryant Fox - Cross Research LLC: Great. And then just as a follow-up. Can you talk a little bit about the announced transaction between CommScope and TE Connectivity? And what the impact is competitively from where you sit for your Enterprise business?
John S. Stroup: Well, first of all, I thought it made a lot of sense as an observer. I think getting ADC and Andrew finally together makes a lot of sense. As we recall, there was a time when the 2 were going to merge. And CommScope successfully acquired Andrew and then Tyco successfully acquired ADC. So I think that the combination makes sense. It's obviously going to improve market share for CommScope in the Enterprise and Telecom business, which I think is good for them. For Belden, experience tells me, in the short run, it's probably good news for us because these kinds of things usually don't generate share capture in the short run, as they try to act on what I think was $150 million of synergies that was announced. So $150 million of synergies usually includes plant consolidation and reduction in sales folks, and that usually doesn't drive share capture. And then in the long run, I would say it's probably neutral to slightly positive in that I think consolidation in this market is probably a good thing for everyone. And CommScope is obviously a highly capable -- or I should say, the management team of CommScope is highly capable, highly experienced, and I have a lot of confidence that they'll do a good job. So I -- as an observer here, I would tend to view it positively.
Operator: We'll go next to Chip Moore with Canaccord Genuity.
Chip Moore - Canaccord Genuity, Research Division: I was hoping you could touch a little more on the Broadcast momentum you saw. Maybe talk a little bit about what you're seeing on the channel there.
John S. Stroup: So the momentum that we saw in Broadcast was really unrelated to anything to do with channel. It was really all about execution. And I would say that PPC, by far, had the best year in the entire company from an organic growth point of view, and they did so consistently. And they've just done a really nice job of not only taking care of their customers, but leveraging the complete portfolio of Belden, so hats off to them for a really, really great year. The team’s also done a nice job leveraging our positions with Grass Valley branded products and pulling through Belden branded cable. So that's also been a clear win for us. And then, when you integrate Grass Valley and Miranda like we did in 2014, not unlike my comment with CommScope, that's usually not good news for share capture in the short run as the team had to manage through some overlap and product obsolescence. But I think they did a nice job. So we'll see how things pan out. I think that if you look at the full year organic growth for Broadcast, that's probably a better metric than in the quarter itself, in terms of expectations going forward because I think Q4 was probably a little bit stronger from a timing point of view and from some of the pent up capital in the end markets. But I think they're in a great position for next year.
Chip Moore - Canaccord Genuity, Research Division: Okay, that's helpful color. And then, lastly for me, maybe you can just touch on that small connectivity acquisition you made like in Q4, what that brings.
John S. Stroup: Yes. So it's a business that is, in many ways, very similar to a cable business that under the brand of Alpha Wire, which is part of our Industrial Connectivity business. It is a high mix, low volume, high delivery or short cycle time business. And they've got actually quite a bit of exposure to the medical diagnostic business. So it's a really nice bolt-on for our Industrial Connectivity business, and specifically, our Alpha Wire business. And it was executed by the Alpha management and Industrial Connectivity management team. They actually did it just about the same time that we were working on the Tripwire acquisition. So it's probably a great example of how the expanded team at Belden now is positioned to do M&A and our ability to do smaller bolt-on acquisitions that the expectations are they'd be highly accretive.
Operator: [Operator Instructions] There are no further questions. Matt Tractenberg, I'll turn the conference back to you for closing remarks.
Matthew Tractenberg: Thank you, Jessica, and thank you, everyone, for joining today's call. If you have any questions, please reach out to us, the IR team, here at Belden. Our e-mail address is investor.relations@belden.com. Have a great day, everyone.